Operator: Good day and welcome to the Q1 2015 Golar LNG Limited earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Gary Smith, CEO. Please go ahead, sir.
Gary Smith: Thank you very much and hello everybody. I'm joined here in London by Brian Tienzo, our CFO and Stuart Buchanan responsible for Investor Relations. The agenda for the call will be as in previous calls, I will quickly run through the highlights for the quarter and then hand you over to Brian, who will take us through the financials highlights for the quarter. And then I'll come back and talk to the business update and give a summary and outlook, before we take Q&A's at the end of the call. If I turn to Page 4 of the presentation deck and run quickly through the highlights for the quarter, and firstly, we're pleased to report good and solid progress with Perenco on the contract surrounding the deployment of the Hilli in Cameroon and I'll come back and talk in more detail on that at the back end of the call. Secondly, we have during the quarter into MoU with Rosneft for the development of up to 2 maybe more FLNG project with them, the two target projects at the moment in Venezuela and Sakhalin. During the quarter Golar concluded the sale of the Eskimo to LNG Partners for the sum of $390 million. We also sold 7.17 million Partners common units also generating proceeds of $207 million. During the quarter we took delivery of the Golar Snow, the Golar Kelvin and the Golar Ice, which concludes the delivery of all the LNG carrier new-builds. We have remaining the delivery of Golar Tundra the final FSRU which will deliver in Q4 this year. As flagged in the last quarter's call the LNG Chartering market have been weak and indeed has deteriorated both in terms of utilization and rate over the quarter and we see that continuing through to the middle of this year. As previously reported, we commenced the charter of two of our carriers to Nigeria LNG and those charters for a period of approximately 12 months each. The first quarter net profit is reported at $24.6 million, however the underlying EBITDA for the quarter was a loss of $4.3 million compared to the Q4 profit from last year of $7.8 million. The Board is pleased to advise that the dividend will remain at $0.45 per share for the quarter. Following the close of the quarter and there have been some additional events take place which I’ll quickly touch on. Firstly, we purchased from Bonny Gas Transport, which is the shipping company associated with Nigeria LNG, the vessel LNG Abuja. Well this transaction was not directly linked to the charters with Nigeria LNG they do help facilitate that deal. We announced earlier on the commencement of discussions with Keppel in relation to exercising an option to commence the conversion of our third GoFLNG vessel and that followed the signing over the Head of Terms with Ophir which is our latest GoFLNG project to take place in equatorial Guinea commencing in the first half of 2019. I'll come back and talk in more detail to reach at those points but I'll hand it over now to Brian.
Brian Tienzo: Thank you, Gary. And so, to take you through the financial highlights of the quarter then, turning over to Page 5, so if you look at the left hand column there looking at the Q1, 2015 numbers, you'll see that the revenue for the quarter is actually quite comparable to Q4, 2014 and on this of course during the quarter, as Gary mentioned earlier we are able to put both Crystal and Frost into a charter with Nigeria LNG for 12 months and so to some extent, they anchored some of the lower utilization in the other vessels. We also saw improved utilization for Celsius and we continue to have some earnings on the Golar Arctic during the quarter, but that of course has now ceased and we will see the Golar Arctic not necessarily taking on revenue during the second quarter which may -- which will likely impact Q2 numbers. Against the revenue numbers there, which are quite consistent with Q4, I’ve highlighted three points which point towards the decrease in net operating revenue. The first one being the Grand charter and the fair value guarantee related to that specific charter for $11.9 million and I've put a footnote at the bottom of the page just to highlight what that is and essentially on the U.S. GAAP, we are required to fair value, the guarantee that Golar LNG Limited had placed on the Golar Grand in giving the option to Golar LNG Partners for chartering back the vessel. And in fair valuing that we had to take into account the potential earnings capability of the vessel while it is on chartered to Golar LNG Limited against the obligations of Golar LNG Limited to Golar LNG Partners and in the quarter we have recorded and incremental fair value adjustment of $8.8 million, within that 11.9 also is the lease cost or the hire cost to Golar LNG Partners of approximately $3.9 million. Another negative impact during the quarters in respect to the Eskimo as a result of the agreement to charter back the vessel as part of one of the transactions that co-existed with the sale of the Eskimo to Golar LNG Partners, so Golar LNG Limited is hiring back the vessel for 22 million from Golar LNG Partners and it has the opportunity to receive any revenues that Golar Eskimo is able to earn up to the end of June. So we charge during the quarter $9.6 million which means that there will an incremental charge in Q2 of [$12.4][ph] in respect of that same transaction. On a like-for-like basis the other voyage expense is lower this quarter from $11.9 million in Q4 to $5.5 million in Q1 off course there are some reduction in bunkers from Frost and Glacier and Celsius -- and Crystal following their charge to Nigeria LNG and of course the results to reduction in bunkers following the sale of the Golar Viking to PT Equinox during the quarter. So going down to the table a little bit you will see that we recorded the gain of approximately $100 million that's resulted from the sale of Eskimo to Golar LNG Partners and then looking at the next financial expenses and income of $47 million which is very consistent with Q4 but within the $47 million in Q1, $32 million of that is in respect to the other financial items most of which is related to mark-to-markets movement from quarter-to-quarter being total returns swap mark-to-market net devaluation of $12 million and then you got the interest from mark-to-market negative evaluation of $16 million. As Gary mentioned earlier the continuing weakening of the spot market has led our utilization for the quarter to decrease from 57% in Q4 to 46% in Q1. Turning over to the Page 6 now, I'm not going to go through this in too much details as we have gone through it in the past, but it's really just to highlight currently the importance of the dividends that Golar LNG Limited receiving from Partners at the moment, it also highlights the rise of the value of dividends despite the decrease in shareholding of Golar LNG Limited of Golar LNG Partners. But I think most importantly, in the most recent distribution announcement the Golar LNG Partners means that the annualized distribution from the LNG Partners is now $2.31 and of course any dividends that Golar LNG Partners announces above that will benefit Golar LNG Limited as it holds the incentive distribution rights which will have hit the 50% level. So, potentially where we able to put the Thunder into long-term chances which is of course one of the very -- has a good opportunity at the moment then that is likely to trigger the highest splits in incentive distribution rights. Turning over to Page 7 to go through some of the balance sheet items, you will see that liquidity position of the company has improved from $191 million to $376 million in respect of un- restricted cash and cash equivalents that's been helped by the release of equity on taking the new buildings and also of the sell-down of [GNLP][ph] units earlier this quarter. You will also see that the liquidity is also been helped by the reduction in restricted cash following some improvements in the share price as well as their removal of the requirement to put secured cash for one of the vessels, which was in the existence in Q4. Going down, the columns there that you will see the material increase in vessels and equipment and that is the result of the delivery of three vessels during the quarter and that also impacts the line before that was the new buildings and the majority of the balance from Q4 has now transferred to vessels and equipment. We reported that the Hilli conversion is progressing well and you will see that the incremental expenditure during the quarter within assets under development is $50 million and that is in respect to of the Golar LNG conversion. There is a new line item there long term loans due from related partners and that points towards the vendor loan to Golar LNG limited as a result of the sale of the Eskimo that concluded in January. The last item I would just like to say something about is in respect of the current portion of long term debt which as you will see has jumped from $116 million at the end of Q4 to now $505 million at the end of Q1. Now this is a result of the funding transactions that we have entered into in respect of Ice, Kelvin, Glacier and Snow and these are -- the funding structures within these require us to treat those transactions under our variable interest entity accounting convention. Now what these means is that Golar is currently consolidating the lenders under these financing, so as a result as of the end of March the funding’s used by these lenders, whether it be a mixture of short and long term loans, Golar is obliged to disclose the short term portion of those loans within current liabilities. Of course from a cash perspective Golar is not obliged to pay any more than the agreed repayment schedule which we have agreed with those lenders, but the impact of this is that it makes the current portion of long term debt much higher than it really is. The indirect impact of this of course is that it may have an impact on Golar's governance but we have taken steps to make sure that it doesn't impact how we calculate those and how we present those covenants to lenders going forward. Turning over to Page 8 and just very quickly go through the main cash movements during the quarter, net cash provided by operating activities is mainly as a result of the operations and the utilization of the vessels. Again the additions in [indiscernible] and equipment mainly taking into account the three deliveries that we had during the quarter and of course the $207 million positive cash coming in from Golar LNG unit sale in January. And finally, just turning over to Page 9 and to quickly go through the company's liquidity position. So we have gone through various financing activities during the quarter and as a result of that the liquidity position of Golar has been strengthened. Of course we've already highlighted that taking delivery of the three new buildings during the quarter has now realized the equity release of $180 million and of course the conclusion of the 7 million units offering of GMOP units in January has resulted to additional cash coming in of $207 million. You will have noticed as well that our restricted cash position has dropped from 75 to 51 in the quarter and so we have being released approximately $20 million and that is now unrestricted. Looking forward to future potential cash injections of course there remains the $220 million Eskimo loan that is owed by Golar LNG partners and for those who have looked at Golar LNG partners' press release they concluded a bond offering recently and so we expect that a big chunk of that will likely go towards repaying some of this loan. And of course the recent improvement in the share price means that the restricted cash we saw at the end of March, the majority of that is now being released and assuming that the share price doesn't move materially -- negatively then we expect that cash to remain within the unrestricted portion. And then just a quick update on the financing of Golar FLNG Hilli and Tundra, so we now have acceptable terms for Golar LNG, GoFLNG Hilli and ongoing due diligence are now being performed by the potential lenders. They are looking at the conversion works as well as the potential looking at the reserves and so on, that is for the Cameroon project. The terms that we are seeing indicate a very competitive pricing given the profile the loan-to-value of the transaction and the tenor that we are able to achieve under those transactions. Of course the completion of the financing remains subject to vessel employments and as I'm sure Gary will tell you later on we hope that that’s concluded within this year. On FSRU Tundra again it's going well and as expected, the funding terms were or -- with or without charter is being received and ready to be triggered and that will be dependent on how the commercial discussions on the Tundra progress over the next couple of months. So overall, the company has a good liquidity position to absorb the ongoing challenging shipping environment, we do have some capital obligations in respect of GoFLNG Hilli and we are well funded to do that. And of course as the board has already indicated there is an intention to continue paying dividends and the current liquidity position supports that also. So I'm going to turn over now the presentation to Gary to go through the business activities with you.
Gary Smith: Thank you, Brian. And I'll start on Page 10 of the slide presentation deck. The changes to the Golar portfolios are subtle. As previously commented we've now taken delivery of Kelvin, Snow and Ice, so they have been delivered. Though the Tundra remains outstanding. You'll see on the page the markup of the two charters to Nigeria LNG, so Crystal and Frost. And I guess the other point worth noting is that Gimi is still showing as a converging candidate, she has not yet entered the yard albeit but we have made the commitment to commence down that path. Turning to Page 11 shipping, as we flagged during the Q4 results presentation it’s been a tough quarter with a decline both in utilization of the vessel and in rate. A couple of weeks ago there was a close to 40 LNG carriers sitting idle, spread between the Far East, Middle East, and the Atlantic markets. However, in the last few weeks, we've seen that start to turn, indeed now eight of our open vessels are fixed in the months of June and July and we are hoping that we’ve seen the bottom and things will start to improve from here. Certainly in the second half, we expect the new LNG production to start up, as previously commented there’s projects in Australia and at the end of the year, [Sabine Pass][ph] in the U.S. Gulf Coast the scheduled to start producing. Somewhat overlooked by commentators is also the fact that we have now got three new markets who are receiving, LNG opened up. All of them facilitated by FSRUs, so Egypt, Pakistan, and our own project in Jordan have all started to receive cargoes and so not any of the supply side but with the demand side is an improving story, as we moving to the second half of the year. Our strategy for shipping has remained unchanged and that is firstly and most importantly to maintain safe and reliable operations. We are targeting utilization and where we can, we will continue to seek out niche opportunities which we can use to employ our vessels. Moving to Page 12 and in somewhat stark contrast to the shipping story, we continue to see healthy and strong interest in FSRUs. We now have six vessels operating, or at least five operating, the sixth in commissioning and one vessel due for delivery later this year. Important, particularly in relation to the FLNGs story is that each of our FSRUs represent a market for LNG. We had installed capacity across the fleet, to re-gasify some 25 million tons of LNG and only 5 million tons of that capacity is secured on any long-term basis. In respect to Thunder, the Ghana project continues to make good progress and we remain hopeful of those are the commitments around the middle of the year. However, on the back of the increased level of interest within the market, we are pursuing in parallel other opportunities. And indeed, there are tenders which we are participating in right now. So, we are very confident about that market and continue to see increased levels of interest. The interest that we see, spans the globe from South Africa and Africa more generally, to Brazil and South America more generally and I would add to that list Indonesia as well, where we see a couple of projects. On the slide, it talks to 40 potential projects worldwide. I add a note of caution that not all of those will translate into full project but certainly it indicates the level of inquiry that we’re currently fielding in FSRUs. If I turn the page then to Page 14, where we talked to the two Golar FLNG opportunities which are previously announced. So starting with the Hilli project in Cameroon, the characteristics of the project are presented there on those slides, so it's a 500 Bcf of gas which will employ the vessels for an eight-year period producing, at 1.2 million tons per annum. That is below the full capacity of the vessels, however we see a possibility to increase project volumes conservatively within the region there is gas available. But that reminds subject to further discussions, the gas quality in Cameroon is well suited to the GoFLNG project and indeed the mid-ocean conditions are perfect. Perenco has the responsibility for marketing the LNG from the project and they have commenced that process and are making good progress. The project remains on target to start-up in April 2017 and indeed both Perenco and Golar remain on target to conclude the agreement by the middle of this year and those agreements include the [tolling][ph] agreement and the gas convention. Following approval by -- acceptance by Golar and Perenco there will be then a period of two to three months for those contracts to go through the process of ratification with the host government. Further encouraged by progress there and as I say remain on track to conclude negotiation by the middle of this year. Turning to the equatorial Guinea projects which we announced during the last quarters. The characteristics of this project are a little different, so we have more gas available to feed the vessels and so in equatorial Guinea, we have a project life of 20 years and producing at the full capacity of the vessels which in West Africa was 2.2 million tons per annum. The location of the gas is further offshore and in deeper water and so it does require us to modify the generic GoFLNG vessel to be able to operate in deep water and to provide the well assurance and upstream operation capability from the vessel. As with Cameroon the mid-ocean conditions are well suited to our application. And similar to the Cameroon project equatorial Guinea [indiscernible] retain the responsible for the marketing of LNG and that process has yet to commencing any serious way. In the press release that we put out a few weeks back, we indicated a startup in the first half of 2019 and for now that remains our target. Although we do recognize some possibility to improve on that if thing go well. Turning the page to Page 14 and dealing specifically with the Hilli conversion. As of the end of March, the Hilli conversion was 42% complete and slightly ahead of schedule for this size in the project that conversion progress, report on man hours and associated activities, which includes design, procurement and actually man hours in the shift yard. The value of work completed, excluding the value of the vessel is $320 million and as Brian reported earlier some $15 million value of work completed since the last update. Both Black & Veatch and Keppel have taken equity in the project and the co-operation between all three partners remains solid and strong and as also previously reported we’re not turning our mind to Gimi and have long laid eyes on the [indiscernible] for the Gimi project. Than turning finally to the last slide which is on Page 15, which looks at the outlook. The current spot market, as I've said now couple of times is tough, but we think we’ve seen the bottom and hopefully as the year pans out we will see an improvement both in utilization and in rate. Eskimo is delivered and she currently sits in Jordan, has commenced commissioning and at the end of that commissioning period will go into service in Jordan. The final FSRU Tundra will deliver in Q4 of this year and we continue to make good progress in Ghana, but we're pleased to report that we're chasing additional opportunities for the employment of Tundra. Specific on GoFLNG, the Cameroon project is working towards financial close, that we'll really be a two-step process, where Perenco and Golar will sign off around the middle of this year and then there will be a short period, where does agreements and can ratified and the project then becomes fully financeable. In equatorial Guinea, we're very pleased to have signed binding [indiscernible] back in couple of weeks ago in Singapore, we have a lot of work ahead of us to then mature those agreements into binding contracts. Ophir has the process now to commence in the upstream feed and we're hopeful of reaching FID on that project in first half of 2016. On the back of the momentum achieved with both equatorial Guinea and Cameroon, we're seeing and increasing level of inquiry, not just in West Africa but in number of geographies around the world, and we will encourage by that and on the back of that level of interest we’ve announced and intention to enter into negotiation with Keppel for the conversion of our third GoFLNG vessel and hopefully we'll have more to say about that in the not too distant future. I think at that point, I'll seize the formal part of the presentation and welcome questions. Thank you very much.
Operator: Thank you. [Operator Instructions] we will take our first question today from Jon Chappell of Evercore ISI. Please go ahead. Your line is open.
Jon Chappell: I’m going to try to keep it to three quick things here, Gary, first on the Tundra, just a little curious or maybe interesting to me that we’re this close to potentially forward with the Ghana project, yet you’re still entertaining other tenders. Is that just a kind of insurance policy in case the Ghana project doesn't go through or based on what you've said about the increased inquiry, are terms becoming a lot better now in the FSRU and do you need to weight better terms versus timing now for the Tundra?
Gary Smith: It's not to do a better terms, it’s more to do with really insuring we secure a contract at the earliest possible time. Our guess, in one of the opportunities we have the potential to employ Tundra from an earlier date. So there's a less of a gap between when the vessel delivers ex-yard and when she would go into service. And so in that respect one of the opportunities which we are choosing is a little bit of in Tundra, but until we have a signed contract I think we are obliged to treat every opportunity very seriously.
Jon Chappell: Okay. And what is the base case employment start date, if you were to go down the Ghana path?
Gary Smith: In Ghana, the employment is third quarter 2016.
Jon Chappell: Okay. The second thing I wanted to ask, was about the Hilli. You mentioned the potential to increase the utilization of the asset. Just wondering what needs to happen there? Are there other land-based projects that need to be canceled? How do you get from the 1.2 to 2 point-something in Hilli in a reasonable amount of time?
Gary Smith: It's to do with the gas allocated to the project from the host government and there is I guess adjuster position with our project versus competing land-based projects. So that discussion needs to pan out and indeed there is we believe gas adjacent blocks to where we're producing, so that could also come true. So we know there's gas there, to be clear we've only been allocated 500 Bcf of gas for our project but we're very much aware it's a very gas prone area, both proven and prospective gas adjacent to where we're producing.
Jon Chappell: Okay. The final thing is, I just want to think about the timeline on the third potential conversion that you started the conversations with. Is there a drop-dead date on this? I remember the Gimi, you put out an announcement on December 31. Do you need to have something in place by June 30 of this year, December 31 of next year? And how does that kind of lay out relative to moving forward with the Gimi? Would you need that one to be in FID before you move forward with the third one, so you didn't have more, “more than one on stake at [indiscernible] at the same time?”
Gary Smith: It's a good question. And indeed we don't want to have a move in one vessel on stake at any one time, but that's clear stated intention. If you think about the two projects we've talked about so far, the first in the Cameroon is scheduled to start up in the first half of 2017, the second in equatorial Guinea is scheduled to start up in the first of 2019. We see that we have the capability, the vessel available and the opportunity to secure our project in that first half of 2018. And the Guinea could be the vessel available for that slot and the arrangement we have in equatorial Guineas allows us to substitute another vessel of Guinea if that were to happen. In relation to your question that does give up sort of a window of opportunity which we have to secure that project and I don't want to be too limiting in my answer here but I guess we haven't found that opportunity by the first quarter of next year, then it would get pretty tough for us to change. By the first quarter of next year, we have to lock Gimi into either this third as yet unannounced project or it needs to be dedicated specifically for the equatorial Guinea project.
Jon Chappell: Okay. And there is no drop-dead dates on converting the third, or at least coming to an approval of capital on the third one? Or could you extend those if need be, as you wait for FID to be finalized?
Gary Smith: So the rest of the capital, I mean, l think the discussions are reasonably open and transparent, so we’re really governed by the schedule of the two announced projects and the timeline it would take us to deliver the second project in the equatorial Guinea.
Brian Tienzo: Jon, I think our experience with Keppel has being very good so far and whilst there may be a drop-dead date and at the moment when I think there is, I think there's some flexibility in there to make sure that we are able to slot a third or so, 2018 FLNG into conversion process.
Operator: We'll now move to our next question today from Ben Nolan of Stifel. Please go ahead, your line is now open.
Ben Nolan: Thanks. Yes, and I have a couple of questions. I guess, first following up on a few, or some of that FLNG commentary. When you talk about the possibility of a third unit, does that -- are we talking about something completely separate from the two already in West Africa, and then some of the other projects you have been working on, whether it is with Rosneft or the Canadian projects? I mean is this, call it, an incremental over and above of those?
Brian Tienzo: So it is most unlikely to be Rosneft or Canada given the timeframe that we're talking, so it would be an incremental project, it could well be West Africa, but unlikely to be equatorial Guinea in Cameroon.
Ben Nolan: Okay. That's helpful. And along those same lines, there was a little bit less commentary in this presentation, with respect certainly to the Canadian projects, but also in general with respect to the -- not much with respect to the Rosneft projects. How are you guys thinking about those? How are you sort of weighting perhaps the likelihood of each of those, relative to let's say, the potential for the third project in West Africa if that's where it is?
Brian Tienzo: So, Canada, Rosneft and West Africa are all discreet and separate opportunities there was some commentary in the release in relation to Canada albeit not in the presentation. We just continue to make good progress in Canada. Obviously in that location it was little bit depended upon the progress of the shale project and my understanding of that project is it continues to make good progress as well. So the issues at the moment being addressed around the pipeline access to the Douglas channel site and the various negotiations associated with that but with the Rosneft deal we have signed the MoU with Rosneft, we have commenced discussions with them, there are a couple of opportunities which we are focusing in on in the first instance. But it’s a little too early to be saying too much at this time. I would say both the Rosneft and the Canadian opportunities are toward the end of the decade and unlikely to be this third FLNG project delivering in 2018.
Ben Nolan: Okay. That’s okay.
Brian Tienzo: Yes. And then let's going on to sale we still see plenty of opportunity in other parts of the world including West Africa and it's more likely that we are going to mature an opportunity quickly in those geographies than either Rosneft or Canada.
Ben Nolan: I see. Very helpful. And then quickly on the FSRUs, it sounds like there are a lot of opportunities, not only to deploy the one vessel that you have coming online but potentially others. Is that an area of market that you would put capital towards, or is it now incremental dollars really spoken for with respect to the GoFLNG?
Brian Tienzo: Golar has a leading position in FSRUs, we're seen as a quality provider, we’re very pleased that we have had a 100% availability across all our unit so far this year and so that's a market which we are keen to study and we want to protect our position, so I think you will see us continue to pursue projects and put capital towards those projects which makes sense.
Ben Nolan: Okay. And then lastly for me, I know several quarters ago you had talked about the possibility of the Board revisiting the dividend, and weighing whether or not to continue at the same level. And obviously, you have thus far, still have what would seem to be an awful lot of potentially very lucrative opportunities that would require an awful lot of capital. Could you maybe walk me through how you were currently thinking about the dividend policy, and sort of the use of your capital on that front?
Brian Tienzo: Sure. In our presentation we highlight the potential incoming liquidity into Golar, that’s to underline a couple of things, one is that the company -- albeit in a pretty weaken shipping environment, the company is in getting liquidity position. It’s got the mean to continue converting that GoFLNG Hilli circling the current timeline without affecting it and with obviously raising an additional equities for that specific project and I think also as we have mentioned in the past whist we said that investors shouldn't expect an incremental increase in the dividend, we did say that the current position of the company is that it's looking to continue to pay dividends at the current levels. Now whilst that's not to say that we will continue forever to pay it, because I think the reality is we need to have a look at the shipping condition, this time next year in 2016 of course everyone expects that to have improved and if that were the case then the dividends would have continued to be paid, if it hasn’t improved then we need to have a look at our liquidity position then, but the current timing is such that we are well funded and as Gary said it's unlikely that we would look to have you more than one speculative GoFLNG conversion ongoing so that means that as we stand we got funding for FLNG Hilli and one of the discussion we had earlier it, once Hilli is fully contracted then we have financing in place to put into that which would mean that leakage on -- cash leakage on Hilli would stop and further capital requirement would be on Gimi.
Ben Nolan: Okay. That is a great and thorough answer. Thank you. That does it for me. Thanks.
Operator: Thank you. Then will move to our next question which is from Christian Wetherbee of Citigroup. Please go ahead.
Christian Wetherbee: Great. Thanks for taking the question. I wanted to ask about the timing on the Hilli, the terms for the agreement with Perenco. I just wanted to get a sense. Number one, do you need an off-take customer sort of fully in place before you get to term later or not in June? And then, should we hear the terms prior to the country approval? I just want to make sure I understand the next sort of steps we should be thinking about from a public disclosure standpoint around the Hilli?
Brian Tienzo: Christian your message was not audibly clear, but all I’ll try to answer. We are progressing the discussions on both the tolling agreement and the gas convention completely independent and separate to the LNG marketing effort and the intention of all the party is to proceed with FID for the project independent of the marketing effort. Should the LNG buyout be secured within the time frame for finding out realization of the document off course that would be well received, but it’s not a condition of FID that we secured on long term buyout.
Christian Wetherbee: Okay. That's helpful. And in terms of just the timing I think you have talked about getting the agreement done by the end of the month of June, but then there is also a government approval process to sign off on it. Will we hear terms by the end of June or we wait until the third quarter to get the government approval on that before we understand with the terms are?
Brian Tienzo: I would expect we should be able to indicate in both parameters the terms around midyear. But I'm not exactly sure what we will and might be able to say at that point in time.
Gary Smith: Yes. I think as we mentioned before because the nature of departments that we have here -- we’re a bit more sensitive on what kind of information we can disclose of course. As you will have seen the amount of information we disclose into affair is very different due to the amount of information we've been able to disclose on the Perenco project. And ultimately it's a discussion that we will have to have with both Perenco and SNH we’ve mentioning in the past that we are -- we have to be disclose the information that is firm. By the time that we get to the end of June I think a lot of the discussions on the commercial side would have been firmed up, but again what we can announce out of that is going to be subject to agreements with the counter parties.
Christian Wetherbee: Okay. That's helpful. I appreciate the color there. Just also want to then follow up on the Gimi, and just understand a little bit when you think about the technical differences between the Gimi potentially and the Hilli. Just want to get a rough sense, maybe order of magnitude of the difference in costs of the two GoFLNG?
Brian Tienzo: Okay. So, assuming it is Gimi that we use for equatorial Guinea and I'm assuming that's the basis of your question, we have in the round numbers 200 might be a bit more million dollars to spend to our debt -- to Gimi over the second vessel for equatorial Guinea. However that incremental CapEx will also be renumerated separately as well. So, we -- again in the previous press release for you indicated on EBITDAR of in the range $350 million per annum to cover the base vessel. That additional CapEx to employ the Gimi and equatorial Guinea will attract additional income as well.
Christian Wetherbee: Okay. That makes sense. And then, just a final question. Just thinking bigger picture about the LNG carrier market, as we look to see the 40 spot-ish vessels that out there open currently, potentially could absorb production that comes online as we get through towards the end of 2015 and the beginning of 2016. How do you think about sort of the employment that you would like to have in place for the LNG carrier fleet, having some level of guaranteed cash flow? Completely makes sense just given the cash that you have in the other parts of the business. Just curious to think about how, what are the break points you guys are watching, before you get a little bit more constructive to potentially put some ships away for some term. Obviously, you'd need a better market for that to happen. Just curious, what your thoughts are around maybe a range that you could be looking for, before you would think about that? Thank you.
Brian Tienzo: Sorry your audio is really hard to follow. In this market for sure we are preferring shorter term opportunities, it needs to improve significantly for us to what contemplate putting vessels away on a long term basis. I think this is probably not the right form for us to publicize what that right might be due to the commercial nature of that information. So all I think I can really say is this is definitely not the market to be pursuing long term opportunities. We are open to do so, but no were near the levels where we are today.
Christian Wetherbee: Alright. That's helpful. Thanks for your time, I appreciate it.
Operator: Thank you. We will now move to our next question this comes from Erik Stavseth of Arctic Securities. Please go ahead, your line is open.
Erik Stavseth: Hi guys. A couple of quick ones from me. You are focusing a lot of the time here on the FLNG side. I mean, you mentioned that you are keen to stay and maintain your position in the FRSU market. But any thoughts about streamlining Golar LNG into a pure FLNG company, and then sort of create upstream/downstream entities at some point? I mean, we did see that with Golar LNG, and Golar LNG Energy at some point. Any comments there?
Brian Tienzo: It's not on our radar, at this moment in time Erik, I mean who knows the future might holds and where this phase of development might take us, but certainly as we look our activities today, we are focused on just securing these contracts.
Erik Stavseth: Right. And the second question is on -- you mentioned that you could see some additional equity released on the Tundra. Could you give an indication of what kind of leverage you will be looking at on the Tundra, if there was an equity release?
Brian Tienzo: Well -- one thing we mentioned in there, so we had financing available from the Tundra whether or not she is on higher -- she is on long-term charter and of course the equity release is going to be very dependent on that. If she is in a long term charter obviously, there is going to be a big possibility of dropping her down to Golar LNG Partners. But prior to that the financing is going to be pretty akin to what we've been able to achieve on some of the vessels that we've taken deliver recently.
Erik Stavseth: Okay. And on that question -- I mean, you have not paid much into the Keppel this quarter, and how flexible is that payment schedule? I mean, there has not been that much guidance on how the payment structure actually is. I guess, it is semi-linear is what I've understood. But can you give any comments on whether that could be potentially more tail-end heavy, should you need to, or want to free up additional equity to invest in a third FLNG unit?
Brian Tienzo: I think, we've given guidance in the past, the contract is as that you've said is pretty is a bit heavier at front and it also a bit heavier at the back, but in the middle it's sort of -- its a bit linear it’s pretty flat, so there will be quarters where you see low expenditure such as this quarters and then it will be catch-up quarters as well, but ultimately those are governed by milestones and of course, those milestones needs to be achieved in order to -- for the payments to be triggered. We've already announced that we’re slightly ahead of those, so there is no need for concern, by the fact that we haven't paid as much this quarters as we did it in Q4.
Erik Stavseth: All right. And then, last question from me, you mentioned you are seeing other projects potentially for the Gimi, and you're seeing other areas. I mean, the previous player who was in Ophir was intending to use a new build. Could that be an alternative for you, to actually build a new build, if that was to be? Could you do that?
Brian Tienzo: Well, the early stage is developing a concept for conversion of a new build carrier, which is somewhat different to the previous provider in equatorial Guinea, part of us. So they were looking to build a complete new build hull and liquefaction facility as a fully integrated project. Our approach is to remind with the conversion of carriers, albeit for projects such as the -- so we see the project in the Rosneft be the base of opportunities in Venezuela, and then we're looking to be the conversion of new build carriers.
Erik Stavseth: Alright. Thanks.
Operator: We'll move to our next question which comes from Michael Webber of Wells Fargo. Please go ahead.
Michael Webber: Just a couple of questions. I wanted to follow up on the last one, around new builds versus conversions. And I'm actually going to come at it from just the opposite angle. It seems like the Ophir developed relatively quickly. I know you had your conversations with them kind of years ago. But it seems as though the conversion solution and the speed to market advantage associated with your model was pretty helpful in that scenario. I'm just curious, with Ophir in general, how much of the speed associated with that project coming together to this point was associated with the prior conversations, versus the conversion solution, which is replacing a new build solution from one of your competitors? And has that spurred any more dialogue or conversations with projects that may or may not be in FEED or pre-FEED? Or kind of looking at the conversion solution as an opportunity to vacuum up some of these projects that are kind of stuck in different sorts of FEED quagmires?
Brian Tienzo: I think there were two factors, what we're helpful to the speed of developing the fair opportunity. Firstly, truly, in our discussions in Cameroon, we had progressed our own thinking, our own commercial structures to the point where we were very close to the finalization of the project and similarly Ophir in their other discussions have gone a fair way down the path as well. So, when we hooked up, both our thinking was pretty mature, we weren’t starting from sort of Ground Zero and we were a long way toward committing to a project, both parties. So I think the telling points and that the persuasive points in terms of us actually securing that opportunity were firstly, we’re very competitive at toll that we’re able to offer and that’s the function of conversion vessels rather than going and building new in the yard. And then secondly, the speed at which we can actually deliver the project and again that's the function of converting vessels rather than going and building new in a shipyard. So, it happened quite quickly because both companies had been concentrating, a project such as this for some time and so really we're just adopting out respective model to reach an agreement. But clearly, very clearly the benefits of starting with a platform such as an existing vessel and that can be an existing vessel or LNG carrier which we would knew gives us much speed to market and toll which is far more competitive.
Michael Webber: Okay. That is helpful. I wanted to come back to Hilli for a second. I know you talked a bunch about the negotiations with Perenco and the timeline there. But I think about the validating data points, and what would allow the market to more heavily weight some of these potential projects, a long-term off take agreement would go a long way. And Brian, I believe you said that was still on pace for some time towards the end of the year, or winter time frame. I was just curious if you can provide any incremental color around Perenco's discussion around off take? What those -- what does the potential counter-parties look like, in terms of portfolio players versus utilities, any indications on pricing? And then I have got a follow-up to that.
Brian Tienzo: So Mike, I think I would say those discussions are in mid-stream at the moment, and we're not kind of party to those discussions. So, I think I would prefer just not to comment on where Perenco are at in those discussions other than our understanding that it's all going constructively and positively.
Michael Webber: Okay. That is fair. Just kind of a follow-up to that -- kind of the commercial framework around selling the gas. It was noted as a possibility of selling that into the spot market and to facilitate the project moving forward and stop-gap off take if you will. Around that possibility, well I guess -- first and foremost, how realistic is that, and is it any more likely today than it was say, six months ago? And then around the mechanics of selling that into the spot market, do you envision that being on a hedged or unhedged basis on -- for volume and costs, and who would bear the price of those hedges?
Brian Tienzo: So, the possibility of selling, the LNG into liquid and tangible market such as Europe, is as relevant today, it has been, so there is no change and indeed that is a back stop to the project. Whether we choose a hedge or not, is not really something which we're in position to comment on at this time, what's most important is that we secure the ability to cargo, so the volume risk is just taking out of the equation, how we manage the price risk, which is the different question, still an open question.
Michael Webber: Okay. Again follow-up on that. Just two more, and I will turn it over. Brian, you mentioned in your commentary, re-classing some of the debt as short-term based on some of the [refi][ph] activity. Just curious around the time frame for that in the back half of the year, whether there was any incremental debt that gets reclassed, and whether that has an impact on the financing for the Hilli?
Brian Tienzo: No, there has no impact on financing for the Hilli, it's really all just accounting some convention Mike, this is something that we saw happening but of course, whilst we say that, we're consolidating the lenders to some extent, we consolidating them because we're seeing to be the main beneficiary or the risk taker for those STVs and we so consolidating them, but in reality we have no control on how they get funded and now with foresee some of the funding would be on a short-term basis, it's obviously transpired afterwards that it is in a short-term basis so we need to fix that, we're having discussions with that company actually next week to find the solution. In any event, it's a paper fix as opposed to any cash fix.
Michael Webber: Okay. That's helpful. Just one more, and I will turn it over. And around Cedar, I think you mentioned in your prepared remarks as well, and it seems as though that you have pretty good relationship with Haisla Nation. They recently turned down an offer around that project. Just curious, does your work with them -- not to the extent that you guys are working kind of pre-FEED or anything kind of pre pre-FEED, does that kind of continued in parallel with that process? Has there been any disruption around that work, with what is going on there? And is there an inflection point, or kind of a cut off at which point you guys kind of pause, as you wait for that to get further along in terms of funding and FID?
Brian Tienzo: I'm not really sure, I understand the question you're answering, I mean indeed the discussions with the Haisla have been constructive and positive and the focus at the moment is around the pipeline access.
Michael Webber: More bluntly, they are turning down offers around the project, but they are working with you on a consistent basis. In parallel, it would be a good indication around the viability of the project. So I'm just curious, to what degree you're working with them and whether that kind of continues as they are also negotiating with others?
Brian Tienzo: Yes, they are locked in with us and that relationship is strong and solid.
Operator: Our next question today comes from Fotis Giannakoulis from Morgan Stanley. Please go ahead, your line is open.
Fotis Giannakoulis: Yes, thanks you, gentlemen, thank you for the opportunity. I understand that the deadline for June 30 still holds, and that we are only a month away which seems quite positive. But my question has to do with the third and the fourth train of the first FLNG unit. Obviously, this first contract is only going to be for 1.2 million tons, but the field that you are working on right now with Perenco has capacity for additional trains than the first two. When shall we expect some development on that front? And also, if my understanding is correct, GDF Suez has exclusive rights for the remaining reserves in Cameroon, and is right now contemplating a FEED study regarding building or not a [indiscernible] facility? What are the chances of GDF going ahead, and what are the chances of Golar expanding its business in Cameroon beyond with its first FLNG?
Brian Tienzo: It's true and as previously touched on in this call, allocated gas for the Cameroon project enables us to operate at 1.2 million tons for a period of eight years, as we previously indicated the region does have more gas available and as you’ve commented on oil, so but we need to be clear, the contracts we're entering into at this moment in time only contemplate 500 Bcf of gas. Let me just make a couple a comments about the Gaz de France project, although it's appropriate for them to make their own comments, but Gaz de France have been in Cameroon developing land based LNG project for a number of years now. The construct of that project is that the Gaz de France do not -- have watched to the reserves in Cameroon. Their role is more to aggregate those reserves and then to approach that gas through a land based facility and for us the situation at hand at the moment and I probably would leave any more comment in relation to that project to Gaz de France.
Fotis Giannakoulis: Do you have any idea about the timing of a potential decision for the third train, where there are sufficient reserves under a specific field? And also, are you aware about the time schedule of a Gaz de France decision, of whether they would go ahead of their own liquification terminal or not?
Brian Tienzo: All I can do at the moment is speculate and I really don't want to do that.
Fotis Giannakoulis: Okay. I appreciate. And one last question. Can you explain to us what are the differences between Cameroon project and the equatorial Guinea project, both in terms of contracts or agreement that you have in place? And also in terms of the upstream economics between these two projects? But what I'm trying to understand is that, what does this mean? An agreement which is anticipated at the end of the month in Cameroon for the Ophir project and the possibility of this project moving ahead from the perspective of the upstream providers?
Brian Tienzo: Okay, so there are technical differences between Cameroon and equatorial Guinea, let me deal with them reasonably quickly, so in Cameroon there is a field already producing the gas, goes ashore, is treated, the liquids are recovered and then dry gas is sent back out to the FLNG project for liquification. It's relatively shallow water and obviously there is income strength from the liquids in addition to income strength from the gas. So, the upstream economics are relatively positive and the production of LNG as a result our toll is okay, but as we've previously discussed there is potential for upside. In the case equatorial Guinea, we are operating off shore in deeper water the gas is dryer and we’re in water beds of 1,200 to 1,600 meters. So the development cost are going to be high, the liquid stream is not present but the LNG production rates will be higher and it will produce for a longer period of time. I’m not in the position to make comparison on the upstream partners side, but certainly from Golar's perspective, both projects are attractive but obviously the equatorial Guinea project with its longer term and it's high production capacity would rank high in that minds.
Fotis Giannakoulis: Okay. Thank you. One last question. Can you give us a clear, some estimate of how many potential FLNG projects are you discussing right now? And what was the amount of projects that we were discussing about a year ago, just to see how much progress you have done on the marketing of your FLNG concept?
Brian Tienzo: So, in addition to the Cameroon and equatorial Guinea project and as publicly announced, we are progressing and continue to progressing in Canada on Cedar. We've talked about what that already on this call, we have just in bark on discussions with Rosneft and that will cover a production facility in the Venezuela in partnership with PDVSA, that's a significant gas accumulation and a significant opportunity for us and in the Rosneft developed other opportunities within a portfolio, so there are serious discussions. There are other West African opportunities which I can't comment on publicly, there are opportunities in Asia and there are opportunities in the Central America which I can't comment on publicly. I guess to give you a sense of the scale we have what we call an opportunity final where we collect all of various opportunity that come towards us, so I guess in Europe there are 20 opportunities in that funnel, but not to say there are 20 projects because some of them are -- let say left the field of ideas, but a reasonable subset of those 20 had the potential to become meaningful projects.
Fotis Giannakoulis: And how many are they would above the year ago?
Brian Tienzo: Less than five.
Operator: Thank you. Then we move to our next question which is from Shawn Collins of Bank of America. Please go ahead. Your line is open.
Shawn Collins: Great. Thank you. Good afternoon, Gary and Brian. So just turning to the LNG carrier market which is clearly challenging. I know it was weak in the first quarter, and is expected to be possibly weaker in the second quarter per Slide 11. Can you just talk about what your utilization was like in the first quarter for your LNG carrier fleet from a percentage of utilization standpoint based on 100%?
Gary Smith: I think we say 46% in the press release, so it’s deteriorated from 57% down to 46% from quarter four last year quarter one this year.
Shawn Collins: Okay. So, a 46% of first quarter and then how -- while I don’t want to push on a number but how would you think about it for second quarter and third quarter?
Gary Smith: So, second quarter is going to deteriorate probably further although, it could be inline, it could be [indiscernible] because we are finishing the quarter quite strongly. So if you had asked me that question a few weeks ago I would have said continued deterioration, but we have done seven fixtures in the last couple of weeks which obviously is very well received and if that level of activity continues then I was thinking you can expect to see growth well into the third quarter and fourth quarter.
Shawn Collins: Okay, great. And if I look at I think it's 40 LNG carriers currently ideal and then compared that to the fleet of roughly 350 so roughly 12% or ideal how would I compare that how would I think about that 12% number to your roughly 50% number?
Gary Smith: Yeah so a large proportion of the full LNG carrier fleet are fixed on long term charters, servicing dedicated trades. And so we're proportionately a much bigger player in the spot market and so when things are depressed as they are at the moment, then we hurt a little more, of course when things go the other way then we enjoy the upside as well. So because that they are positioned in the spot -- in the short term market, I'm not sure the comparison with the total fleet necessarily holds.
Shawn Collins: Okay, understand, that makes sense. If you had estimate on 350, how many of those are charters versus spot?
Gary Smith: Well, it's somewhat blurred because you got the big oil companies, the portfolio players having position in that market as well. But it's 40 vessels to 50 vessels maybe, it would depend on definitions, I’m picking numbers out of the air a little bit here.
Shawn Collins: Okay, understand, then just my last question would be, any new marginal color on new terminals coming on in the next six to twelve months, new LNG terminals coming on?
Gary Smith: Production terminals, or receiving terminals?
Shawn Collins: Production terminals.
Gary Smith: So, there is a number of projects starting up in Australia, so one of the three coal seam gas production facilities on the east coast of Australia have started and the remaining two projects are scheduled would be starting up from about now. And indeed both those projects are in the market for incremental shipping, so that's points to the fact that they are getting ready to start. On the west coast of Australia, you have got Gorgon followed by Wheatstone and the Ichthys project which is running a little late, in the Gulf of Mexico you have Sabine Pass scheduled to be ready to start up at the end of the year. So in terms of total tons of production in the next 12 months, it's sort of 40 million tons to 50 million tons of incremental capacity coming on stream and as a rule of thumb as the incremental million tons of LNG absorbed one LNG carrier. And that's not withstanding any sort of reloads and trading between the various trading based in this, so in this kind of market we seem very little reloading of cargos from Europe to the far east. But we've just starting to see that activity pick up again, so that absorbs ships as well.
Operator: Thank you. [indiscernible] now move to our next question from Andy Gupta from HITE Hedge Asset Management. Please go ahead.
Andy Gupta: Thanks for taking the question. Most of mine have been answered over the course of the call. But one thing on the Perenco deal. So the final stage here, appears to be the government approval. What are the risks around that approval occurring once you’ve reached final terms with Perenco?
Gary Smith: Far be it for me to speak on behalf of the government of Cameroon, but the government have been through SNH, which is the national oil company in Cameroon, intimately involved in this project all the way through. So I think it's highly unlikely that they would have a sort of impressable objections, although clearly it's their right to comment on the detail of the documents once they’re finalized. It should be said that they've also participated in the drafting of the documents such far. So it's not as if these documents will turn up on their desk as a complete surprise. So the risk is low, but clearly there is a process that needs to be going through.
Andy Gupta: In terms of the terms with Perenco, are that -- at this point, are you very close on the basic economics or is there still a significant debate going on in terms of the economics of the tolling agreement?
Gary Smith: Now we, sort of board parameters were agreed and a term sheet which we announced back in December. So what we're doing at the moment is filling up the balance of the document to make it complete, it's not to say that we don’t revisit elements of the commercial deal from time-to-time as you might expect, but the board parameters were locked down some months ago.
Andy Gupta: Great. And then, last question. Moving over to the FSRU market, it seems like one of your main competitors, Hoegh has had some decent momentum signing up a few new contracts here in the recent period. Now I would be interested in your comment on that competitive environment, and why someone might choose them over you, and how you compete for those -- that incremental business?
Gary Smith: Yeah Hoegh is a worthy and legitimate competitor and here are two or three competitors in this market which we compete against. I guess, we each make judgments as to which projects are most viable and suitable to the schedule of vessels that has become available, so indeed they’ve made an announcement in Chile. We have been pursuing Ghana as you know and at the moment we are also pursuing some other opportunities, so I don’t think we expect to win every piece of business that’s out there. But, as I said previously, we remain interested in this market and we do want to continue to grow up.
Operator: We now move to our next question from Sunil Sibal of Global Hunters securities. Please go ahead, your line is open.
Sunil Sibal : Hi, good afternoon guys, and thanks for taking the time. Most of the issues have been discussed, but I just wanted a couple of clarifications. So first, on Cameroon LNG, the counter-party for your tolling agreement would be Perenco or the Perenco and SNH together? And can you confirm that this tolling agreement is a take-or-pay argument for 1.2 [indiscernible]?
Gary Smith: So, it's totally an agreement with the Perenco and SNH. So they are the parties to the agreement. When you say a take-or-pay that sounds to me like a question related to the sale of LNG, which it is not. So we -- with tolling agreement looks more like a charter party, the vessel remains on hire subject to it being able to performs its contracted obligations.
Sunil Sibal : So it's not dependent on the volume actually handled?
Gary Smith: No -- no it's not.
Sunil Sibal : Okay. That's help us.
Gary Smith: Just on qualify to that, that’s assuming the vessel is there unavailable to perform.
Sunil Sibal : Got it. Thanks. And then in terms of the LNG carrier market, the competitive environment there, I was wondering if you could talk a little bit about competing designs? I think some of your competitors are going with a MEGI designs, versus your TFDE designs, and was wondering how do you see that playing out? Relative advantages of each of those designs in the current market environment as the market hopefully tightens for carriers?
Gary Smith: Yes clearly MEGI is the next technical step. We are little bit cautious because at this point in time there and no MEGI vessels in operation. So, it remains to be seen, whether they perform, whether we’re comfortable and confident with the tri-fuel diesel ships that we have that performing very well for us and indeed are attractive and conduct -- command that’s premium in the markets, so we are feeling comfortable with cognoscenti of what’s going on with the engine development and we'll watch with interest. On paper its looks like a useful and good next step and it proves to be so in actual performance than indeed that will where the industry will go next.
Brian Tienzo: I think in addition, to that as well, I think we’ve been thought is a previous discussion as we highlighted at this probably -- there were at 400 vessels in the fleet at the moment and to ignore the rest of that is a big folly -- I mean it's going to take a long-long time before it becomes the main shipping of choice but certainly, it is there and [indiscernible] of its presence. But, in the meantime the steam vessels and now the TFDEs are what's available and they have proven they are worth in the current shipping environment.
Sunil Sibal : No, that is very helpful. And then just a last clarification, if you have to kind of quantifying in the ballpark MEGI versus TFDE, at the current bunker prices, what do you think is the cost advantage for the MEGI versus the TFDE?
Brian Tienzo: It's very dependent on a whole bunch of factors, maybe that’s a question best dealt with offline.
Operator: We will now move to our next question from Eirik Haavaldsen of Pareto Securities. Please go ahead, your line is open.
Eirik Haavaldsen: Yes, hi. Just wanted to follow up on what you mentioned before, on being at the early stage of converting a new build into an FLNG. Would that be converting one or several existing vessels, or would it be ordering a new build in a way? And also what would be the estimated costs? Would that what be more similar to the current conversions or more similar to ordering a whole new build?
Brian Tienzo: So, it's more likely to be conversion based on converting a new build, which we’ve not yet ordered, that's due to our preference to be using most carriers for FLNG conversions rather than [membrane][ph] just as a result of the robustness of the containment system. So, that sort of sets the date by which the earliest new build conversion could take place. But the cost of conversion actually is not going to be while lot different to the conversions which we have currently undertaking, so clearly, we pay more for the new vessel and that's going to be in the range of $200 million to $220 million depending on the actual specification for the vessel. But when we say that it is not needing to refurbish and life extend the older vessel. So, in the scale of thing it's not going to be materially different to the project that we currently execute
Eirik Haavaldsen: And then, on based on if you had any dialogues with potential clients on such a project, should we expect then a tolling fee like that to be higher, to reflect the fact that the hull is -- would be new? And perhaps the environmental permits and such would be easier to obtain? Or would the economics kind of be similar also for the ones that would hire such a unit?
Gary Smith: Really, that critical feature is not so much that the hull is new because the conversions that we're doing at the moment, really take of vessels back to almost as new, it's fully refurnished going into service, the real benefit gain from a new build vessel, it has much largest storage capacity, so we go from in the region of 125,000 meter cube to something like the 175,000 meter cube and that gives a lot of operation and benefit to the project. To the extend, we can command a premium top that, remains to be tested, but clearly they're benefit seeing and moving in that direction.
Eirik Haavaldsen: Okay. Just one more then. What would, I mean, if we don't hear about what Excelerate and all their new build solutions have been guiding towards in terms of costs that will be -- I would expect at least twice what such a unit to their management would cost. What is really the main difference there in CapEx?
Gary Smith: I sometimes flippantly say, the difference is a factor of Pi. It's not far off, in fact. If you go to a shipyard and want a one off solution than clearly it's going to cost you a lot more than asking for well proven, well bench benchmark, you build ship. So, the real advantage is, we have in our approached with the hull and the containment system is competitively priced and then we work with a very experienced yard such as Keppel, to execute the conversion for us. And that underpins the benefit of our approach rather than what others are pursuing, which is to design everything right from first principles.
Operator: Thank you. [Operator Instructions] We will now move to our final question at the moment that is Walther Lovato of Passport Capital. Please go ahead. Your line is open.
Walther Lovato: Hey. Good morning. Quickly, what do you think is Keppel's capacity on these conversions for yard. Would they be able to do work on five conversions sort of at various stages of completion at the same time? Or are there any limits there?
Gary Smith: I'm not sure I can comment on whether they can do five. I mean, Keppel’s 90 yard, they're not just in the business of doing FLNG conversions but they are a big player in the FBSO market and the drilling rig market. Those markets are soft at the moment. And we have not tested what their ultimate capacity might be, but certainly in this market they have more than enough capacity to do everything that we contemplate.
Operator: Thank you. That will now conclude our question-and-answer session today. I would now like to hand the call back to our speakers for any additional or closing remarks
Stuart Buchanan: We thank you for your interest. It's obviously been a busy and exciting quarter for us and we look forward to returning three months from now to give you the next update on progress. Thank you very much.
Operator: Thank you. That will now conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.